Operator: Good morning, ladies and gentlemen, and welcome to the Enerplus Q4 and Year-End 2019 Results Conference Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question and answer session. [Operator Instructions] This call is being recorded on Friday, February 21 2020. I'd now like to turn the conference over to Mr. Drew Mair, please go ahead.
Drew Mair: Thank you, operator, and good morning everyone. Thanks for joining the call. Before we get started, please take note of the advisories located at the end of today's news release. Our financials have been prepared in accordance with U.S. GAAP. All discussion of production volumes today are on a gross company working interest basis and all financial figures are in Canadian dollars unless otherwise specified. I'm here this morning with Ian Dundas, our President and Chief Executive Officer; Jodine Jenson Labrie, Senior VP and Chief Financial Officer; Ray Daniels, Senior VP Operations; Wade Hutchings, Senior VP and Chief Operating Officer; Shana Murray here, our VP Finance and Garth Doll, VP Marketing. Following our discussion, we'll open up the call for questions. With that, I'll turn it over to Ian.
Ian Dundas: Thank you, Drew. Good morning, everyone. I'll run through our 2019 results released this morning before moving on to our plans for 2020. The details of which we announced in January. We'd strong results across the company in 2019, which we believe that demonstrate our continued to track record of creating value for our shareholders. Two of the central pillars our strategy has been returned focus capital allocation and a conservative financial plan. The outcome of this has been an operational plan that has generated free cash flow and attractive liquids growth. We believe that our full year results screen very well relative to the strategy. We delivered 9% liquids production growth, 15% on a per share basis. We maintain capital spending discipline and generated free cash flow of $90 million. And we returned over $200 million to shareholders to share repurchases and our dividend. This morning, we also released our 2019 year-end reserves. We replaced 139% of our 2019 production on a 2P basis at a competitive finding and development cost of approximately $13 per BOE. At an asset level, we replaced over 200% of North Dakota production. Overall, we grew our 2P reserves by 3%, which improves to 11% on a per share basis. And it's worth noting, we booked less than half of our over 400 remaining identified locations in North Dakota. Inclusive of these locations, this translates into just under 10 years of drilling inventory at the current pace of development, which also doesn't include any benefit from our DJ Basin position. In summary, 2019 was another year of differentiated execution for Enerplus, and I'd like to take a moment to thank our team for delivering these solid results. Turning to 2020, the plan looks similar to 2019 on many levels. We expect to provide high returning oil production growth under a capital-efficient operating plan. Free cash flow at oil price's about $50 per barrel WTI, continued return of capital to shareholders to share repurchases and dividends and a resilient business afforded by low financial leverage. Our 2020 capital budget is approximately 12% lower than our 2019 spend, which is a function of improving capital efficiencies in the block and through lower well costs, less spend in the Marcellus given the low natural gas price environment and modern spending in the DJ Basin where we have an opportunity to advance this project through the year through non-operated participation. On an absolute basis, our liquids production growth is expected to be in the high single-digits with low double-digit growth on a per share basis. Although this is a slight moderation of our historic growth profile, it supports stronger free cash flow, particularly with the continued oil price volatility and we look for natural gas prices. It also helps to lower base production declines and improves the overall sustainability of the business. Capital plan continues to be focused on the Bakken where we expect strong growth in the second half of the year. We didn't bring any new wells on production in the Bakken in the fourth quarter of 2019, so we will see production decline into Q1. We will also see lower natural gas production and clue on as a result of our limited Marcellus capital spending and the shuttin and advancement of our last remaining significant legacy natural gas asset at Tommy Lakes in Canada. Following the first quarter, oil production is expected to meaningfully increase driven by North Dakota volumes. In fact, we are currently in the process of bringing on our first 7-well pad in North Dakota. I'd like to spend a moment on our ESG initiatives. Although we haven't always called it ESG, we are proud of our long history of strong performance in many of our key ESP focus areas. That being said, we believe continuous improvement in all aspects of our business, including ESG is critical to our long term success. In that spirit, we published an ESG presentation on our website today, which provides additional information on our approach to ESG and how we have further integrated it into the business. The overarching principle of our ESG strategy is to focus on areas or material issues which we believe directly map to shareholder value, risk mitigation enhancing our overall business resilience. To repeat, our ESG strategy is about value and not values. We have identified the following as our material ESG focus areas, greenhouse gas emissions, water management, culture, stakeholder engagement, health and safety and board expertise and engagement. Today's announcement highlighted two specific areas where we have established intensity-based targets for greenhouse gas emissions and fresh water use to be achieved by year in 2020. These will provide us with a baseline from which to continue to build our longer term strategy. Our focus will be on reductions in North Dakota operations, which represents the most significant opportunity for improvement in both areas. We'll also be providing more communication about our ESG initiatives and integration as we move through the year. Finally, I want to comment on a recent managing change and change of responsibilities at the Board level. Ray Daniels, our SVP, Operations is retiring in April. And after a 35-year career in industry, including 12 years at Enerplus, I'm happy for Ray and his family and I'm sad to see him go. He is an exceptional leader and a trusted colleague, and has been instrumental in so many of our accomplishments over the years. With Ray's pending retirement, Wade Hutchings has joined us as Chief Operating Officer. Wade brings a depth of technical and leadership experience at Enerplus, and we're fortunate to have him on the team and we'll be looking for opportunities to introduce him to the market. At Board level, our Chair Elliott Pew has announced his intention to step down as Chair at our annual meeting of shareholders in May. Elliott's guidance has been a strong asset to Enerplus and I'm happy to say he is continuing to serve on the Board as an independent director. Hillary Folks, currently Chair of the Corporate Governance and nominating committee, has been appointed as the new Board Chair upon Elliott stepping down. Hillary, who many of you know, has been a strong director, and I'm excited to work with her as our new chair. So, I'll leave it there and I'll pass the call to Jodine to talk to through our financial highlights.
Jodi Jenson Labrie: Great. Thanks, Ian. We generated $175 million of adjusted funds flow in the fourth quarter, resulting in $709 million for the full year. However, we reported a loss of $429 million in the fourth quarter and a loss of $260 million for the year as a result of a non-cash goodwill impairment charge related to our Canadian business unit.  The entire Canadian goodwill balance of $451 million was written off in the fourth quarter as a result of the cumulative impact of noncore Canadian asset sales over the past several years. The plans shut in and abandonment of our Tommy lakes asset in British Columbia, and lower forecasted commodity prices. We did not however, record any impairment on our property, plant and equipment.  Turning to our oil price realizations, our Bakken oil differential widened in the fourth quarter to $4.40 per barrel below WTI. This led to a full year Bakken oil differential of $3.61 per barrel below WTI which was consistent with our guidance. In 2020 we expect to realize Bakken oil differential to widen to approximately $5 per barrel below WTI. This modest increase reflects the tightening balance in the basin and doing increasing Bakken production versus pipeline takeaway capacity, along with a narrower Brent in WTI oil price spread. However, we are constructive on Bakken differentials in 2021 based on the timing of a plan pipeline expansion which could meaningfully increase basin take away.  Our capital spending for 2019 came in at $619 million, which was the lower guidance of $625 million. We also spent $206 million during the year returning capital to shareholders through share repurchases and dividends. As we think about our 2020 return of capital, we indicated with our budget release that in addition to our dividend, we plan to allocate a portion of free cash flow to share purchases. We haven't defined exactly what portion of free cash flow will go toward share purchases; however it needs to be balanced. We see compelling value to buy back our stock at these levels. However, we also want to ensure our financial position remains rock solid in order to navigate the market volatility and potentially take advantage of opportunities to build for the future.  Our 2020 investment profile with higher capital spending during the first half of the year is expected to result in free cash flow generation during the second half of year. Again, as we indicated our budget release, we plan to retain flexibility to pre spend a portion of the anticipated free cash flow to repurchase shares earlier in the year.  Turning to the balance sheet, we continue to be in a strong financial position with ample liquidity. At year end, our net debt to adjusted funds flow ratio was 0.6 times and we were undrawn on our $600 million credit facility.  Last week, we have continued to layer on crude oil hedges in 2020. We now have over 60% of our forecasted 2020 net oil production protected at floor prices of approximately $55 to $57 per barrel WTI. We have used a combination of swaps, but spread and three way color structures to provide downside protection while retaining meaningful exposure to higher oil prices.  I'll leave it there and we'll turn the call over to the operator and open it up the call for question.
Operator: [Operator Instructions] Your first question comes from Neal Dingmann, SunTrust. Please go ahead. 
Neal Dingmann: Morning, Ian and team. My first question is around in your slide nine on the new deck. And I really like that slide. And based on it would certainly appear to me that anything less than 10 or possibly even higher, it seems apparent that repurchasing shares you're saying on here would be your highest return option. I'm just wondering, do you agree with this and do you believe though, however, that might while that might be the case based on kind look at your stock price what's been going on in the group? Does the market do you think prefer more growth? Or is there something that this missing here?
Ian Dundas: Good morning, Neal. Not sure the markets always consistent with doing a launch right now. Lot of people, they're looking for different kinds of things, I can tell you how we're thinking, but we see compelling value in this stock. And for those who don't have the slide in front of them, you're referencing share price versus in plied cost of reserves, which is certainly one of the things we look at. So, I see strong value out there and see it has a very high low risk return option for us that we're very comfortable with. And so as Jodi said in her comments, the pace at which will do that is just largely function free cash flow and trying to ensuring we continue to maintain a real strong balance sheet. Over the last couple of years, we have spent a little bit doing that based on such a low starting point for our leverage, we were in such a strong position. And we're really comfortable where we are leverage right now, but we're not going to keep borrowing to make that happen. You know, and then how might that compare to other value creation opportunities?  You know, we're comfortable with the amount of growth we have, if we were to grow more in internally or organically, I guess that would be an expansion of free cash flow that might work for some and not for others. People going to have to make the decisions, what's important to them, we're trying to be very, very consistent on this. When we step back and think about whether our growth is competitive. We see as being competitive, we certainly see it as being very sustainable. You layer on the per share elements of that and it becomes even more compelling. Will the market figures out over time? I think people figure out math over time. And those things all sort of work selves out as long as we keep focusing on and keeping that strong balance sheet and deploying capital powerful outsized returns, that's really going to be key for us.
Neal Dingmann: You know, you said on this, you would use at least grow this year some debt to repurchase. Does that make sense?
Ian Dundas: That would be a strategy. You know, we've decided we're not going to do very much of that. I mean, if you want to get really granular and think about treasury here, we see free cash flow for us under most scenarios back after the year, not the front half of the year, just because the nature of the capital program. So we are buying stock now at relatively modest levels, which arguably, we're using cash for borrowing for but it's at a relatively modest level. And when we think about our approach to share buyback over the totality of the year, our expectation is not to borrow to make it happen, and we will do that out of free cash flow. And as we specifically said a couple times, it will be a portion of that free cash flow.
Neal Dingmann: Okay. My last question, just on M&A. I'm just wondering sort of tied in what you were saying given your strong financials, I would assume it might make sense if you could find assets of the immediately a creative, and do believe to be the case. And are there assets like this out in the market?
Ian Dundas: Clearly, the other choice capitalization would be bringing things into the company. And you have to think how those things compare against your existing opportunities, and how they position you for the future. And do we pay attention to that? Absolutely we pay attention to it? I think I get right to the media question, I think it's really important that people understand, we think we are in a really good position relative to our existing inventory. We booked under 200 locations and are reserved for it, we see more than double that when we think of our inventory set and that's not a stretch. I mean, the reason that the vast majority of those additional wells aren't booked is just a function of the development profile and the timetable as opposed to risk. So I think we're in a really, really good place to our existing inventory and are not at all in a position where we feel need to do something. So that being said your question, are there opportunities out there? And could they compete? How would they look? There are opportunities out there and the principles for us are around maintaining a strong balance sheet and doing things that make sense for our shareholders. And so, if you then step back and think about Enerplus, in the last four years, we've clearly been disciplined. Yes, we brought the DJ in at a time period when people were spending money on lands, we've done those things, but as a general rule, we've been pretty disciplined on that. And I think by most standards, there's not a lot of people who have been buying land and inventory over the last three or four years who are in the money on that. Inventory has not been getting more expensive. It's been getting cheaper. So I think that has been pretty good plan so far, our things getting into a place where you might see buyers and sellers getting together. I think they're getting closer. You've got structural sellers out there who have been hanging on to historic price expectations, and you've got structural buyers, were saying I need to make more money in a full cycle basis. And so those things are slowly converging. And they will get to a place where they need to get to that point in time. So not a lot happened, we see things generally getting cheaper, and I think we're in a really good position to be able to add to our inventory is the right time, but got time to make it happen.
Neal Dingmann: Perfect. Thanks for the details. Thanks.
Operator: Your next question comes from Greg Pardy, RBC Capital. Please go ahead. 
Greg Pardy: Yes, thanks, morning. Actually, I mean, that was really the discussion, I think. And I guess the only observation I would have the end is that if, if you're in a situation, I guess and I could be completely wrong on this. But if you're in a situation where the market is valuing your stock, possibly on the basis of inventory or insufficient diversification, or what have you it, I just wonder whether that can't lead you down a road where your stock is always is going to look cheaper. But it's also giving quite a fault indicator. And so you're always going to buy a stock as opposed to taking the other route. I'm not saying I'm just saying this is just a broad observation that's popped into my head.  I think you've done a good job just answering on the acquisition side, the only just operational thing I'd ask is your volumes were quite strong in the Balkan in fourth quarter. How maybe how should we think about the first quarter in terms of where those levels come down to and what the trajectory might look like in the second? 
Ian Dundas: Thanks, Greg. Trying to decide whether I want to editorialize on your first comment? 
Greg Pardy: Please, like it's out there to like feel free because all of the feedback, right, that comes back at you guys is fantastic. Really strong balance sheet, consistent delivery, never need to worry about their numbers. But the inventory question which has been around for I don't know what five, six years 10 years maybe has only amped up so the growth is not necessarily seen as benefiting you and a lot of other positive aspects on the company seem to be completely overshadowed. So I just wonder is, is this not the environment? Well, as opposed to buying back 200 million stock to buy something that has its own risks attached, but it potentially just put you on a different trajectory? That's the only thing that's real, but feels free to push back.
Ian Dundas: I don't think there's pushback necessarily; I do think you got to be careful false indicators that disconnect from underlying value. There have been lots of companies over time that had a massive inverter positions, and then they disappeared, right? So by all historic measures, an almost 10 year inventory of high quality projects that's a lot and we've got a lot of time and there's a reason that the number has continued to stay around this level. You know, like, if you want to let's get 10 years of inventory, what's 10 years of inventory [indiscernible], North Dakota $40 million, $50 million It's a small number, sorry in additional year is a small number in the grand scheme of things and our financial capacity, combined with the optionality longer assets is exceptional, to easily be able to handle those things, easily be able to handle those things. So -- we'll Group of Companies in our size range and by the way the single strongest correlator of value, right these days is market cap right? We're trading like the other bottom guys, we're trading like everyone in our snack rocket. Everyone's unhappy with that looking at these smaller companies. But the real thing is bigger. It's not inventory, it's bigger. And so that's just what that is. And we can't deal with that right now. That's a market dynamic. So we can focus on what we can focus on, which is creating value. So, do I think over time, people will figure these things out, of course they will. And if they don't figure it out, then we'll keep buying our shares back and we'll keep growing and then we'll end up with one really, really expensive share at the end of the day and we'll make money for people.  Look, at the valuation that we're sitting at right now. And we're snick over PDD on a company with tremendous structural advantage. So, I hear the question, I here playing out, miles here, a lot of people lots of shareholders call, there, okay. And they're very comfortable what they're doing and things sort themselves out, when you allocate capital fees and full cycle returns, and you manage your balance sheet. All that being said would it be better if we had more inventory? Sure, that'd be great. We got lots of people focused on the issue and thinking but it will be disciplined, and it really feels like this discipline has been the right answer. I mean, just look at some of the basins have gone on and what's rolled over on pricing. I mean, we're not in the Permian. But just think about that as an example, because there's been more activity level there. We're at 12,000, 15,000 acres [ph] Permian when were you last there? You know, we're down by half like things have been coming. They're getting cheaper. I think they're coming into the transactional range. I think a lot of people were thinking you actually might be able to get something done in the fourth quarter, now we've got some oil, price volatility through various plagues that are out there.  Back to your question on the Q1 dip, this has been the same pattern that's happened for years for us. As we maintain capital discipline we set up a bit of a ramp in spend in the first quarter. Last year, liquids are down about 10%. We don't provide a Q1 guide. And it might be helpful to people if we did but the reality is, we're bringing on this seven wall pad, and you bring it on a week earlier, a week later, it was the numbers around surprisingly a lot in the quarter. So I think about that historic pattern is one that representative of how things will shake out this year. 
Greg Pardy: Terrific. Thanks for both answers. And hopefully we don't get down to one share. Well, Ionesco.
Ian Dundas: As long as I own it.
Operator: Your next question comes from Jordan McNiven, Tudor Pickering Holt. Please go ahead. 
Jordan McNiven: Hey guys, just a quick question here first on the ESG stuff, you mentioned the reduce flaring with infrastructure expansions. Are you able to elaborate a bit on that and let us know kind of where gas capture rates to currently and what the targets are in the next few years?
Ian Dundas: Yes, so, gas capture we are currently the 88% gas capture moving to 91 in November, and we believe that well, we will meet these guys capture requirements. With regards to emissions reduction, we are looking at different techniques or methods to reduce emissions. Alternative technologies that we may bring in to help us with that, so we have some operational-- that our operational runner this year, then we will have a reduction in our player volumes anyway.
Ian Dundas: And John, if I can just add to that, we made -- so, this is the first time we've rolled out a specific target on emissions reduction, we made a decision to start with a one year target as we are looking at a multi year plan on these things. And in flirting with your question, we're also dealing with water, fresh water. We produce -- we recycle virtually all of our fresh water in Canada, but in the U.S., we use fresh water for frogs. And so we're now testing produced water for that. So, it's just a continuation of focusing on environmental issues for us and trying to provide people long-term visibility. But as Ray said, flirting specifically, there's lots of things that go on to reduce flaring, just building a pipe, but there's also some ideas that are longer-term in nature that could be pretty interesting that are also being worked on. So, we'll continue to update people over the course of this year and next as we work through those.
Jordan McNiven: Okay, that's great. I just a second question here too. And actually it's a piggybacks on the first one and it seems like slide nine the real popular one here. Just kind of coming at it from a slightly different angle, when you look at the implied reserve value there and your guys's implied funding costs, and you talked about competitive growth and you think you're at that level and don't you need to pursue higher growth. When you look at the relative value of reserves and ability to purchase reserves through buybacks and/or effectively drill further, is there some thought around potentially, say, pursuing less growth in the near-term to effectively enhance free cash flow to purchase shares and, therefore, purchase reserves at a lower price? Or how do you guys think about that?
Ian Dundas: I think it's a good question. And I think many people are wrestling with it. Is there an optimal formula out there to help valuations, stock valuations, in particular in the small-cap space? And what's the growth trade-off versus the free cash flow trade-off and then share buybacks and we're in a pretty good position with the balance sheet, some flexibility in the operational plan to work our way through that. And so, if you go back to our 2020 guidance release, about a month ago, I guess now, I mean, that's sort of how we dealt with that question, thinking our way through what was, I guess, first of all an operational plan that made sense. We didn't want to do something silly there to artificially increase free cash flow, regrowth and have destroyed value, long term value in that process. So, an operational plan that made sense then a financial plan that made sense, we were pretty focused on not moving our balance sheet to achieve our growth objectives. And then out of all of that, we just -- we made a decision that we would dial our growth back to what we viewed to be a little bit in order to enhance free cash flow to be able to facilitate, I guess, largely share buybacks or anything else you might want to do with free cash flow. And certainly, if this M&A market or the land market gets in an attractive place, I mean, that's also possible use for some of that money. So, we will be responsive, we'll think about the market, but I think Neil's first question what do people want well, lots of people want different things and passive strategies might want different than active strategies and you know so much. We're focusing on what we can do turning our eyes to the market and taking input and thinking about that, and then being able to articulate why we settled where we settled. We think our growth profile is quite attractive. It's an operational plan that allows us to be efficient and still continue look for opportunities to get better and better and develop the asset base. Fundamentally, we have to develop this asset base. And finally, it's probably that a few times but this is underpinned by the critical factor is the economics of this capital program today. Our average program or average well in North Dakota, our average booking, we think it's 40% plus rate return at a $50 flat deck, with $7.2 million of capital costs allocated against that. Our goal would be to spend less than that amount of money and help perform that and we're running a little bit above the strip. So, this really compelling economics as if they're right now.
Operator: [Operator Instructions] Your next question comes from Jamie Kubik, CIBC. Please go ahead.
James Kubik: Good morning, guys. Thanks. So just a quick question on your U.S. gas volume. So, those are still pretty strong in Q4. And you mentioned Tommy Lakes being shut in to start the year here. How do you expect your U.S. gas volumes will phase over 2020 and are you expecting to shut in any volumes in that region given the price weakness we've seen with NYMEX? Thanks.
Ian Dundas: Morning, Jamie. So, yes, two drivers, Tommy getting shut down, it's actually getting shut down as we speak. So, that will show up over Q1 on the Canadian side. If you work your way through then what our guidance ranges mean for U.S. gas volumes, they -- obviously, there's some associated gas in the Bakken but the real driver is the Marcellus. And it implies decline in the Marcellus. First time, in years and years and years, it implies decline in the Marcellus. We'll see. Three years in a row, Marcellus volumes have outperformed. It's been a bit of a shallower decline, but it's largely been well, productivity that's exceeded. We're not bringing very well so we're not going to have that performance thing on new wells to the same extent, we'll see where decline goes. But it does imply some decline in the Marcellus and again, ties of capital program and you were seeing recount fall and producers scale capital. So, I can review ask this or maybe implied it. But I think you said curtailments in there. So, it doesn't imply curtailment. And so, we haven't been in a position in the Marcellus where anyone's curtailed any meaningful volume since Atlantic sun rising I guess. A good strong two years. Producers will react differently depending upon their cost structures. We're in a position where low cost, high productivity, your primary partner out there, if you think about sort of their patterns, two-ish plus years ago, we really didn't touch volume until the cash market fell under one meal. So, is that going to be a good way to think about it? I guess we'll see. That's how we've been thinking things will play out. But it's not built into our, our forecast now. It's just sort of normal course decline that we think might play out.
Operator: There are no further questions at this time, please proceed.
Ian Dundas: All right. Well, thank you, everybody. Have a great day and I appreciate your time today.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and I ask that you please disconnect your lines. Have a great day.